Operator: Welcome to the Metropolitan Commercial Bank's Third Quarter 2022 Earnings Call. Hosting the call today from Metropolitan Commercial Bank, are Mark DeFazio, President and Chief Executive Officer; and Greg Sigrist, Executive Vice President and Chief Financial Officer. Today's call is being recorded. At this time, all participants have been placed in a listen-only mode and the floor will be open for your questions following the prepared remarks. [Operator Instructions]. During today's presentation, reference will be made to the company's earnings release and investor presentation, copies of which are made available at mcbankny.com. Today's presentation may include forward-looking statements that are subject to risks and uncertainties that may cause actual results to differ materially. Please refer to the company's notices regarding forward-looking statements and non-GAAP measures that appear in the earnings release. It is now my pleasure to turn the floor over to Mark DeFazio, President and Chief Executive Officer. You may begin.
Mark DeFazio: Thank you, Katy. And good morning, and welcome to MCB's third quarter earnings call. I am pleased with MCB's strong and sustained performance, as evidenced by 17.1% return on average tangible common equity this quarter, powered by the strength of our sustained loan growth and NIM expansion. Amid a backdrop of rising interest rates and increasing economic uncertainty, the MCB team has remained engaged with our clients and that commitment shows in our financial performance.  When we set out over 23 years ago to build a branch like commercial bank. In doing so, managing the funding side of our balance sheet by adding optionality has been the cornerstone of successful net interest margin management. Fast forward, MCB remains focused on the management and the development of our diversified lower cost funding base, while looking out two years or more to expand our funding strategies to support the balance sheet growth we have seen over the past 20 years. The third quarter was no exception. We saw total deposit growth apart from expected crypto-related deposit outflows, as we were able to source lower cost deposits that were more than offset outflows from the positive seeking treasury rates are looking to substantially reprice existing arrangements. This highlights the pricing discipline that underpins our margin management. Margin management is reflected in our ability to drive top-line growth in net interest income, with high quality loan growth, funded by lower cost and scalable deposit verticals.  We have had success moving our new loan production yields up during this unprecedented rate environment along with raising floor rates that will provide net interest margin and net interest income protection when rates reverse.  I would like to spend a moment on our global payments business. As a reminder, we provide basic retail banking services to our digital currency clients, which we often referred to as being crypto-related businesses. For sake of absolute clarity, the services we provide do not include custody or lending against any digital assets, nor are we involved in any stable coin issuances. Further, as many of you have heard me say, we have not onboarded a new digital currency clients since 2019. Revenues from this sector currently represents roughly 2% of MCB's total revenues, or 13% of our total deposits. We remain strategically focused on expanding our banking-as-a-service offerings to FinTechs are well positioned to continue taking retail market share from banks of all sizes. I am pleased to report that banking-as-a-service revenues of $2.5 million in the third quarter are up 21% over the prior year quarter. Our ability to scale banking-as-a-service related deposits over time is clearly a differentiator for us as well. Now turning to a few third quarter highlights as compared to the prior year. Total loans were up $1 billion or 28%, total deposits were up $274 million or 5%, including DBAs, which were up $254 million or 9%. Net interest income of $63.3 million, was up 55%. Return on average assets was 1.51% as compared to 109 a year ago. As mentioned, the return on average tangible common equity was 17.1% in the quarter, and our efficiency ratio improved the 45.1% from 47.1%.  I will now turn it over to Greg for more comments.
Greg Sigrist : Thank you, Mark. And good morning, everyone. We reported strong third quarter net income of $25 million, or $2.23 of fully diluted earnings per share. Loan growth and NIM expansion led net interest income higher in the third quarter, with NII increasing 15% to $63.3 million as compared to the prior quarter.  Let me take you through a few of the key drivers this quarter. Commercial bank performance remains strong, with net loan growth of $242.1 million or 5.5%, bringing year-to-date net loan growth of 23.7%. They're down from the record second quarter, loan originations remain strong at $424 million, bringing total originations for the first nine months of 2022 to $1.4 billion. Credit quality remains pristine, with no charge offs to date and non-performing loans effectively at zero. The provision in the quarter was in-line with long growth. As expected, crypto-related deposits were down $486 million, led by the effort to promptly return funds to void your customers once approved by the bankruptcy court. This was our second consecutive quarter of measurable inflows of retail deposits, including those with loan customers, with an increase of $151 million in the third quarter. Credit goes to our retail and commercial lending teams for the sustained client engagement. We also saw strong inflows of $162 million related to our FinTech banking-as-a-service clients. Loan yields [ph] I mentioned more than offset the expected outflows from deposit categories seeking higher yields, which is consistent with our disciplined approach to deposit pricing and margin management. Non-interest-bearing deposits remained robust at 53% of total deposits. Net interest margin was a 50 basis points in the quarter to 3.85%. Asset yields benefited from rising rates as well as deployment of liquidity and for loans with interest earning asset yields increasing 76 basis points to 4.26%.  Importantly, the total cost of funds increased a modest 20 basis points, while remaining low at 45 basis points, given our patience and ability to hold the profit betas low to this point in the cycle. We do expect to see NIM expansion into next year on the strength of our pricing discipline on both sides of the balance sheet and given the funding options available to us. We are being mindful of the current interest rate forecast. We are looking further down the field to position for an eventual decline in rates. We have increased asset duration gradually over the past several quarters. For securities, duration is natural extended with rising rates. For loans, we have taken out a bit more duration, which is evidenced by a modest decline in the floating rate portion of the portfolio, to 41% at September 30, as compared to 44% to begin the quarter. This also shows in our net interest income sensitivity modeling, which has come in a bit this quarter, particularly in the rates down scenarios highlighted in our IR deck.  We have continued success and moving floors up on new origination floating rate loans with a majority of loans are subject to floors. The structural benefits are important elements of our margin management, which provides stability, as rates continue to move up and will provide a significant level of NIM protection when rates inevitably begin to back down. GPG revenues were down $1.1 million quarter-over-quarter, given the expected decline in crypto-related GPR card volumes, partially offsetting this decline with FinTech banking-as-a-service revenues, which were up $312,000 or 14% in the quarter on an 11% increase in related transaction volumes. Overall, expenses continue to be well managed as we are building per scale with a focus on generating near term returns on the investments we make. This has been clearly evident in human capital, where compensation and benefits has continued to scale along with the MCB's growth and profitability, reflecting the continued investments being made particularly in control and infrastructure functions. Apart from our total run-rate, professional fees did increase in the quarter. The primary driver was legal fees, which were elevated by approximately $4 million, with outside counsel engagement focused on Voyager's bankruptcy proceedings as well as other matters. We do expect legal fees to moderate back to historic levels as we move through the fourth quarter, with our expected first quarter run-rate for legal fees in-line with historic trends. Touching on taxes briefly. We would expect the effective tax rate for the balance of the year to be in the range of 31% to 32%, excluding discrete items recognized in the first quarter. Our capital levels remain strong, with all capital ratios significantly above well capitalized levels.  And I will now turn the call back to our operator for Q&A.
Operator: Thank you, the floor is now open for questions. [Operator Instructions] Thank you, our first question will come from Chris O’Connell with KBW. Your line is now open.
Chris O’Connell : Good morning. 
Mark DeFazio: Hey, good morning, Chris.
Greg Sigrist : Good morning, Chris. 
Chris O’Connell : So just wanted to start out with the legal or professional fees being elevated. And see if you guys give any additional color around the issue or how you think the trajectory will be between now and 1Q'23?
Mark DeFazio: As Greg mentioned, this is Mark DeFazio. As Greg mentioned, we think as the legal fees will start to normalize through the fourth quarter and we should -- we hopefully we'll be behind it starting in the first quarter in 23.  Voyager, as everyone knows was a bankrupt, so we had to represent ourselves there. And we also have one other matter, that is a 2020 matter, which we're working through as well. So we expect these two matters, hopefully will be behind us by the end of this year. And we'll be back to normal trends as relates to professional fees.
Chris O’Connell : Okay, got it. And then just on the residue expenses. There's a disclosure around locking some gains that will help offset licensing fees going forward. Just any idea, given that offset, where were those licensing fees, trends -- trend in the fourth quarter given the recent rate hikes?
Mark DeFazio: Yeah, but there's only a portion of that line, which is licensing fees, it's subject to any sort of rate variability. And we'd substantially hedge that rate risk out with the interest rate capital that we disclose, Chris. So, I think what you're really going to see in the fourth quarter should largely be in-line with third quarter. That rate cap, the $12.7 million net we referenced in the earnings release, that will come in to P&L on that line over the remaining balance. The hedge period, which I think was in that 28 to 30 month period, it's probably down to closer to 25 months at this point in time. So we will see some continued protection from that as it comes in the income.
Chris O’Connell : Okay, great. And then on the loan growth side, the balance sheet. Obviously strong quarter growth. Is there any update on what you're hearing from, your customers as far as demand? And then any areas that you're, more aggressive on or pulling back on at this point in the cycle?
Mark DeFazio: No, we're very fortunate, as a commercial banks and as you see the level of diversification we have in our loan portfolio. Our clients are very active in this market looking for opportunities. And when we're not pulling back on any asset class at the moment, and we're just a bit more careful in certain decisions we make regarding certain asset classes. But no, we see very little headwinds ahead of us and looking forward to continuing to support our commercial clients.
Chris O’Connell : Okay, great. And then any pushback on the substantial change in origination rates over the past couple of quarters given the upward moving rates and any pushback on that or the raising of the floors?
Mark DeFazio: I wouldn't call it push back. And then obviously, there's a conversation. But one of the things, I think we benefit from it then being a commercial bank and having significant optionality of diversification on a commercial loan side. Our clients are very high net worth individuals, and we're assisting them in generating significant internal rate of returns on their investments. So they acknowledge that, funding costs are going up, and therefore, loan yields have to rise. And someone told me once it's not a cost of money, it's a cost of not having it. So they still see our funding as very strategic in their ability to generate generational wealth.  So yes, it was a discussion about it, but I wouldn't suggest in any way, it's a headwind.
Chris O’Connell : Great. And then I may have missed it, but I know in the past, you guys have assumed roughly a 70% beta in interest rate sensitivity tables. And any changes you seen, the magnitude in and pace of rate hikes. And what you guys are seeing in 3Q and in conversations so far in 4Q as to when you get to that beta over the course of the cycle. And I guess like what you're seeing in the near term in terms of betas on the deposit side? 
Mark DeFazio: Yeah. We just the first to confirm we -- for interest bearing deposits, we do -- we're -- our NII sensitivities with our 70% beta. Early in the cycle, we talked about how that might be a bit conservative. To this point, our betas have remained low,  I think trying to triangulate when we get to 70%, pf course, it's more of an issue. We do have not only funding options on the table right now, but a pretty robust pipeline of deposit opportunities we're looking at. I still think we're going to stay inside of that, what I still think is a fairly conservative 70% beta. Because, again, to Mark's point, I think it's a key theme this quarter, just the optionality, we have as we kind of think about managing the balance sheet in the margin.
Chris O’Connell : Got it. So I mean, based on your commentary, I mean, it's safe to assume, at least for the next couple quarters pretty fairly positive NIM trends going forward. So --
Mark DeFazio: Yeah. And to play back in other way, I mean, even if that deposit beta on interest bearing deposits does trend into the 50 to 60 year slightly higher range. I still think we're going to continue to see some opposites on them, just again, given our disciplines and what we're able to do on the asset side of the sheet as well combined with just overall deposit pricing initiatives.
Chris O’Connell : Great. And last one for me, just any update you could give on where you think the $1.6 million of GPG fees, relative to digital currency business and the 762 remaining of the digital currency related deposits. Trends that we've seen so far in 4Q are kind of the outlook that you see on that in the near term?
Mark DeFazio: As it relates to the crypto deposits, I think a bit stable at this point. We're seeing a bit pickup in crypto-related transactions, but we play such a small role in that space in any event, so the transaction volumes, therefore the revenue generated from it won't be significant either way, up or down.  And on the deposit side, I think that stable. Our volatility last quarter came from Voyager, which is obviously a bankruptcy, that speaks for itself, but GPG excluding crypto, we continue to see expansion there. We see our banking-as-a-service business continuing to grow. Remember that business is a retail business. It's a retail digital bank, within a commercial bank. So it's in a marathon, it takes a lot of time. Client acquisition takes a bit of time. But once you have those clients, they're here for a while. So we expect to see a continued steady increase in our banking-as-a service business for the foreseeable future.
Chris O’Connell : Great. I appreciate the time. 
Mark DeFazio: Thank you.
Operator: Thank you. Our next question will come from Alex Lau with JPMorgan. Your line is now open.
Alex Lau : Hi. Good morning, Mark and Greg. 
Mark DeFazio: Hey, Alex. Good morning. 
Greg Sigrist : Good morning, Alex.
Alex Lau : In the past, you've talked about growing loans in that mid-teens range. Are you feeling confident continuing in this historical loan growth range, given a more challenging deposit environment?
Mark DeFazio: I look at it, the answer is obviously yes. We take -- we manage our capital really efficiently here, and we take it very serious. Capital is precious to us. So we're not going to grow for the sake of growing. And if market conditions are such where it puts the economy NIM compression, that is not going to generate the kind of top-line revenue that we expect to achieve, perhaps we would do less lending. We haven't seen that headwind yet. We're expecting, as I mentioned earlier, our clients are very active in this market. We are in many different markets, and we have a lot of optionality on the lending side. So we will be in control of that, but we're very conscious of our capital and preserving it and making sure we get the right operating leverage for generating returns. So we'll have to see.  And of course, credit discipline. And if market conditions as such, we're talking about margin, if market conditions, somewhat change, where it puts a bit of a concern on asset quality. Of course, we'll be able to roll that back. We're very opportunistic here. We don't have a tall [indiscernible] of achieving a certain rate of growth. We're all about earnings.
Alex Lau : That's helpful. On the deposit side, outside of the crypto-related balances, there's some good growth in the FinTech deposits. Can you talk about what drove this growth in the quarter? What's the cost is on these types of deposits? And in terms of just what you're seeing in the pipeline, how confident are you growing -- in growing these deposits in the near term?
Mark DeFazio: We're confident. We see a direct correlation between onboarding and integrating with new FinTech companies. They're executing on their business strategy in the form of the client acquisition strategy, so we're seeing the benefit of their growth, when we sharing in that. So we expect the positive to continue to grow steadily. We expect to onboard new FinTech companies at a pace that we can manage the risk, because that's the cornerstone of this business is managing the operational risk. And we expect it to continue. The consumers are continuing to move more and more to a digital platform. And the traditional banks are just not filling that void and fintech companies are. And they need banking-as-a-service provider like MCB to be to do that.
Alex Lau : Thank you. And on the property manager and bankruptcy trustee deposits, they continued to decline another quarter. Can you walk through what is driving this? And do you expect these bounces to continue declining or have we hit a floor?
Mark DeFazio: It's hard to say that we've hit a floor. And again, fortunately, we have optionality, so we were able to more than outpaced those outflows. In those two cases, you had, we were competing with much higher yields. And I think in a couple of cases, the clients were really looking to achieve more of a treasury rate return. And we're just not going to pay up for the deposits.  Unfortunately, we have the optionality to manage our margin, and we're still very engaged with these clients. We expect to do more business with those clients. But they have goals that they set out for themselves, and we have discipline around managing our cost of funds. So fortunately, we have the optionality around our balance sheet that provides us the ability to say no.
Alex Lau : Thank you. And then on to crypto deposits, just to clarify on the $486 million outflow. How much of that was from Voyager and what was the rest from?
Greg Sigrist : It was around 70% was Voyager to be candid, and the rest just I would characterize as normal flows in the crypto space.
Alex Lau : Thank you. And just a side question. At what point would you be comfortable using a portion of those crypto-related deposits to fund loans or securities?
Mark DeFazio : We have a 50% beta against those deposits already. And the ones that we do have on our balance sheet are fairly stable. So to the extent that they become useful and less costly than other options, we would consider it. But right now, there is volatility still in the crypto space. And we've been able to drive, lower costs, low-cost funds elsewhere. So it's just another hour in our quiver to the extent we feel comfortable enough with relying on those deposits to be around the same longer term earning assets.
Greg Sigrist : I agree with Mark. I think those deposits are getting closer and closer to being fungible along with the rest of the deposits. Although there's still some hesitation. We have the optionality on the rest of the deposit verticals, we have the other strategies we're working on. and I think, the other side of it is, we continue to just in the overall -- continuously funds in client perspective, just to increase our options where you might have seen our FHLB capacity picked up as well. You add it all together, I think we're getting closer and a little more comfortable, but we have options. And I think that's the important part.
Alex Lau : Thanks. And on the depositor environment, can you just comment on what you're seeing on the deposit competition front? How much you pressure seeing on the money market and savings deposits costs? And what are the spot rates on those deposits? Thanks.
Mark DeFazio: Yeah, I think as we move through this rate environment, you've heard from every other bank that's reported, Alex. I mean, I think there's definitely competition out there. I think for a lot of folks, you're starting to figure out anyone that wants to be indexed, who -- we have the deposit pricing index is probably, there's some sensitivities, I think, in everyone's book.  So we're seeing it. I think, in the money market side, keep in mind, we have a lot of longer term relationships that are also tied in with lending relationships. So in a lot of the cases will pricing both sides of the sheet. That's why I give credit to a lot retail and our commercial banking teams are just to the steady engagement with the clients on it.  Spot rates, I know, you've probably seen some of the spot rates out there around 150 or so. That's what we're kind of seeing on new money and I think some of the competition rates. But again, we've stayed focused on the conversations with our clients and continuing to drive the margin management that we're known for.
Alex Lau : Thanks. And then on GPG fee income, you touched on this a little bit. But just to clarify, the GPG revenue was down a million. Do you expect more crypto-related headwinds from here or is the FinTech the income side enough to grow this overall line from here?
Greg Sigrist : So, I think it's hard to predict what's going to happen to the GPG -- I mean, to the to the crypto side. I mean, crypto winter continues for a period of time. We're not going to be completely be shackled from what happens in the broader crypto space. It's Mark's earlier comment, we're still a very small part -- player in that space. So you probably see some correlation to what goes on with broader trends there.  I think for us, though, our banking-as-a-service, retail, FinTech partners, are really starting to hit their stride. I think that's the part of that business that we continue to look to. And, we're starting to see the uplift now that we knew was going to start happening. So I think, will it completely replace the crypto in the near term, my crystal ball is broken, but we are very excited about the what we see as a continuing trend there.
Alex Lau : Thank you. And last question from me on credit. Credit metrics are strong again, this quarter. Can you just talk about where you're keeping an eye on the closes in terms of asset class and markets, as we head into a potential recession?
Mark DeFazio: Alex, we were concerned about various asset classes, even before the pandemic. Retail was under pressure, hospitality was already under pressure, coming through the pandemic hospitality is recovering very nicely. We see weaknesses still in retail, in some segments of retail. We're just not careful when we are conservative, and we're fairly diversified. And we understand the industries and the markets that we're in very well. I think we have the best lending teams and credit analyst anywhere in New York today. I put them up against anybody of any size bank. And after 23 years of having, virtually no losses and having the kind of balance sheet growth we continue to have, I think being more careful than conservative has played well for us. And we're dealing with very sophisticated clients who are in the long game. We're not looking for quick profits, they're looking to build generational wealth. So they approach deals fairly carefully, as well.  Some asset classes that we do, like quite a bit, obviously is healthcare that continues to serve as well. But of course, the portfolio speaks -- performance speaks for itself. So we're very fortunate again have that kind of optionality.
Alex Lau : Thank you. That's it for me.
Operator: Thank you. [Operator Instructions] Seeing no further questions. This does conclude the allotted time for questions. I will now turn the call back over to Mark DeFazio for any additional or closing remarks.
Mark DeFazio: I just would like to end by saying thank you again to the shareholders who are hanging in there with us. I know it's a very difficult time out there in the market. And we're working really hard for you and we appreciate your support. Thank you very much.
Operator: Thank you. This does conclude today's conference call and webcast. A web cast archive of this call can be found at www.mcbankny.com. Please disconnect your lines at this time. And have a wonderful day.